Operator: Good afternoon and welcome to Oxbridge Re's First Quarter 2023 Earnings Call. My name is Camilla and I will be your conference operator this afternoon. At this time, all participants are in a listen-only mode. Joining us for today's presentation is Oxbridge Re's Chairman, President, and Chief Executive Officer, Jay Madhu; and Chief Financial Officer and Corporate Secretary Wrendon Timothy. Following their remarks, we will open up the call for your questions. I would like to remind everyone that this call is also being broadcast live via webcast and available via webcast replay until [Technical Difficulty] on the Investor Relations section of the Oxbridge Re website at www.oxbridgere.com. Now, I would like to turn the floor over to Wrendon Timothy, Chief Financial Officer of Oxbridge Re who will provide the necessary cautions regarding the forward-looking statements that will be made by management during this call. Thank you, Wrendon you may begin. 
Wrendon Timothy: Thank you, operator. During today's call, there will be forward-looking statements made regarding future events including Oxbridge Re's future financial performance. These forward-looking statements are made pursuant to the Private Securities Litigation Reform Act of 1995. Words such as anticipates, estimates, expects, intends, plans, projects, and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions but rather are subject to various risks and uncertainties. A detailed discussion of risks and uncertainties that could cause actual results and events to differ materially from such forward-looking statements is included in the section entitled Risk Factors contained in our Form 10-K filed on March 30th, 2023 and our Form 10-Q filed to deal with the Securities and Exchange Commission. The occurrence of any of these risks and uncertainties could have a material adverse effect on the company's business, financial condition, and the volatility of our earnings, which include can cause significant market price and trading volume fluctuation for our securities. Any forward-looking statements made on this conference call speak only as of the date of this conference call. And except as required by law, the company undertakes no obligation to update any forward-looking statements contained on this call or in any company presentation, even if the company's expectations or any related events, conditions or circumstances change. Now, I'd like to the call over to our Chairman, President and Chief Executive Officer, Jay Madhu. Jay?
Jay Madhu: Thank you, Wrendon, and welcome, everyone. Thank you for joining us today. Before we start, I would like to take a moment to provide a brief overview of our company. Oxbridge Re Holdings Limited was founded 10 years ago with the mission to provide reinsurance solutions, primarily to property and casualty insurers in the Gulf Coast region of the United States. We are very proud to be celebrating our 10th anniversary this year. Through our licensed reinsurance subsidiary, Oxbridge Reinsurance Limited and our licensed reinsurance sidecar Oxbridge Re NS, we write fully collateralized policies to cover property losses from specific catastrophes. And because we write fully collateralized contracts, we believe we can compete efficiently with large carriers. We specialize in underwriting low-frequency high-severity risks where we believe sufficient data access to effectively analyze the risk/return profile of reinsurance contracts. Our objective is to achieve long-term growth in book value or share by writing business on a selective and opportunistic basis that will generate attractive underwriting profits relative to risk. We diversified our business in 2021 by being the lead in the sponsor of Oxbridge acquisition for a Special Purpose Acquisition Company or SPAC, focusing on investing in disruptive technologies. During the first quarter of 2023, Oxbridge acquisitions announced its intention to form a business combination with Jet.AI Inc. The company developed software and offers fractional aircraft ownership, jet card, aircraft brokerage and charter through its fleet of private aircraft and those of its operating partner. Jet.AI operates along two segments: software and aviation. The software segment features the B2C CharterGPT app and the B2B Jet.AI Operator platform. The CharterGPT app uses natural language processing and machine learning to improve the private jet booking experience. The Jet.AI operator platform offers a suite of stand-alone software products to enable FAA Part 135 charter providers to add revenue, maximize efficiency and reduce environmental impact. The Aviation segment features jet aircraft fractions, jet cards, on-fleet charter, management, and buyer’s brokerage. The transaction is expected to close at the end of the second quarter of this year for LTC pending SEC and OXAC shareholder approval. We also further diversified our business with the creation of our new Web3 subsidiary SurancePlus Inc. The company offers an alternative investment opportunity leveraging key qualities of blockchain technology to create a well-designed digital security under SEC guidelines that has complete transparency and compliance. SurancePlus commenced an offering of securitized tokens which, assuming no losses, are expected to generate a potential return of approximately 42% a year. This new thrust is an entry into Web3 and the digital security market, which puts real-world assets on the blockchain and opens an entirely new avenue of democratizing reinsurance and potentially other opportunities in the future. We are very excited about both of these new opportunities and look forward to keeping you appraise of their progress in the upcoming quarters. Regarding our investment portfolio, we remain opportunistic and will deploy our capital when favorable return opportunities arise that contribute to the growth of capital in surplus in our licensed reinsurance subsidiaries over time. Over the long-term, we remain highly opportunistic about the prospects of our core reinsurance business and the two investments I commented on earlier in Oxbridge Acquisition as well as SurancePlus. I'll now turn things over to Wrendon and take us through our financial results.
Wrendon Timothy: Thank you, Jay. I would like to remind you that our typical reinsurance contract period is from June 1 to May 31 of the following year. With regard to net premiums rents for the quarter ended March June 2023 were nil compared to $210,000 in the last year's first quarter. The decrease was due to the acceleration of premium recognition and two of our reinsurance contracts during 2022 arising from the limit loss suffered from the Hurricane Ian impact. So there have been no reinsurance premiums recorded in this quarter. There have also been no losses to-date incurred in 2023. With regards to investment income, our net investment income and other income rose in the quarter to 189,000 from 33,000 due to higher rates on money market fund. We generated a solid 381,000 unrealized gain in the fourth quarter of 2023 due to a fair value change in our equity investment in Oxbridge Acquisition Corp. In last year's first quarter, this change resulted in a $230,000 unrealized loss. We also recognized a 76,000 positive change in the fair value of our equity securities as of March 31, 2023, much improved from the 20,000 negative change in the prior year first quarter. All of these factors, taken together resulted in total revenues of $546,000 in for the three months ended March 31, 2023 compared to no in the prior year's first quarter. With regard to total expenses, total expenses were up marginally in the fourth quarter of 2023 to $404,000 from $261000 last year. There was no policy acquisition cost of underwriting expenses in the quarter due to the acceleration of premium recognition and the resulting acceleration of policy acquisition costs. In additional, general and admin expenses were high in 2023 due to increased personnel costs and inflationary cost pressures. Due to -- due primarily to the positive change in the fair value of equity securities and other investments in the quarter, we generated net income of $142,000 or $0.02 per share for the three months ended March 31, 2023 compared to a net loss of $387,000 or $0.07 per share in the last year's first quarter. As we have discussed before in our investor calls, we use various measures to analyze the growth and profitability of our business. For our reinsurance business, we measure underwriting profitability by examining our loss ratio acquisition ratio expense ratio and combined ratio. Our loss retrace measures on writing profitability is the ratio of loss and loss adjustment expenses included net per with no losses or loss adjustment expenses in either the first quarter of 2023 or 2022 the loss ratio was 0% in growth period. Our acquisition cost ratio which measures operational efficiency compares policy acquisition costs and net green earnings. Likewise with no premiums earned in the first quarter of 2023. The ratio was 0% compared to 11% in the prior year. Our expense ratio which measures operating performance compared to policy acquisition costs and general admin expenses and net premiums earned, as a result of no premiums in 2023 our expense ratio was 0% in the first quarter compared to 171.9% in the first quarter of 2022. Our combined ratio which is used to measure underwriting performance is a sum of the loss ratio and expense ratio with no premiums earned in the fourth quarter the combined ratio was showed 0% combined 151.9% in last year's fourth quarter. Now turning to the balance sheet. Our investment portfolio increased to $718,000 at March 31, 2023 from $646,000 in the prior end largely due to gain we experienced during the quarter. Other investment increased marginally due to the positive change in the fair value of our investments in which acquisition call. Cash and cash equivalents and restricted cash and cash equivalents decreased to $3.6 million at March 31, 2023 compared to $3.9 million on December 31, 2022. Total shareholders' equity at quarter end increased to $15.2 million or approximately $2.59 to a common share. Now I'll turn the call back over to Jay to wrap up before we take the questions. 
Jay Madhu: Thank you, Wrendon. As we discussed on our year-end conference call in late January we announced the incorporation of Assurance Plus a wholly owned subsidiary of Oxbridge Re. Assurance Plus will issue tokenized securities that indirectly represent fractionalized interest in reinsurance contracts underwritten by our reinsurance subsidiary. Token holders will receive a return on the performance of these underlying reinsurance contracts. In essence, Assurance puts will democratize access to reinsurance as an alternative investment opportunity that leverages the key qualities of blockchain technology to create a well-designed digital security. Our tokens will enable more invest to participate and have their interest permanently and transparently recorded on the chain. These opportunities were typically unavailable to investors in the past due to high barriers to entry. Following this exciting investment opportunity in late February, we utilized Oxbridge Acquisition Corp. to embark on a business combination with Jet.AI Inc., a company offering fractional aircraft ownership jet card aircraft brokerage and charter service through its fleet of private aircraft. Our wholly-owned subsidiary Oxbridge Reinsurance Limited is the lead investor in our SPAC sponsor and holds 1.5 million shares which at the closing of transaction will have a value of approximately $14.2 million not including the value of 3.1 million private warrants we beneficially own in the SPAC. These exciting new investment opportunities further diversify our business and risk portfolio positioning us to capitalize on growth in emerging technologies. We are very excited about the future value of these investments and the potential they bring to our shareholders. So in closing our book value per share at quarter end is $2.59 per share. Our business is well-diversified. Our investment insurance plus positions us in a new leading-edge web three technology business, our investment in Oxbridge acquisition/jet.ai and artificial intelligence Aviation business is on track. We remain debt-free. We have a strong balance sheet with a solid cash position. And most importantly, we have opportunity based on a viable business model that is based on diversification. We remain opportunistic not only in our core business, but also our broader view of the market. With that, we are ready to open the call to -- we are opening a call for questions. Operator please provide the appropriate instructions.
Operator: Thank you, sir. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Kent Engelke with Capitol Securities. Please proceed with your question. 
Kent Engelke: Hey, Jay. Hey. Wrendon. A couple of questions come to mind right. I guess the first and foremost on Assurance Plus the -- to try to increase the potential value there you have a lot of things going on. We consider the possibility of maybe spinning something out to recognize that value of that is there? And then secondly in regards to on the SPAC where we at on the voting of the pack itself I would think that once a that merger is closed there should be a very large release of potential value at least on the balance sheet based on accounting rules and the like looking where your price of stock is it looks like there's a lot of value based upon things that are already in place?
Jay Madhu: Hi, Ken, yes, I'll take your second question first. And the answer to that is, yes. We don't realize a full mark-to-market value on the investment on the SPAC at the moment. But once that's closed that will normalize. So there will be there will be an uptick in recognition. So we're looking forward to that. We hope that actually just yesterday the SEC -- SEC comments went in yesterday and got filed with the SEC the second round of comments the first round of comments rather. And if all goes well we expect this to close by the end of Q2 of this year. So everything looks on track and we're good to go there. In relation to your first question how do we monetize Assurance Plus that will be work in progress, but what we have done is we have developed a web three -- we have developed a web three company internally. We didn't go out. There was no dilution. We don't raise capital. We didn't raise cash. We developed it all in-house. So shareholders have owned 100% of that company at the moment. As we go forward and it will definitely be Board approval, et cetera but there's definitely an opportunity to maybe do something much bigger. But once we go forward with Assurance Plus and we issue the reinsurance token, there's definitely opportunity to go raise funds and do various different tokens of the like as well. So absolutely we're very excited.
Kent Engelke: A lot of opportunity, a lot of potential following you all for a long time and it looks like we're finally on the cusp of doing something.
Jay Madhu: Yes, yes. This has been an extremely busy year, extremely busy last year. But now we're almost there. Looking forward to it.
Kent Engelke: Look forward to the upcoming conference calls.
Jay Madhu: Thank you, Kent.
Wrendon Timothy: Thanks, Kent.
Operator: [Operator Instructions] At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Madhu for closing remarks.
Jay Madhu: Thank you for joining us on today's call. Before we wrap up, I want to thank our employees, business partners, and investors for their continuing support. I especially want to express our gratitude to the Oxbridge team will continue to leverage their significant experience to manage and build our business during these challenging times. We look forward to updating you on our next call. And if you have any further questions please contact me any time. Thank you again for your time and attention today and your interest in Oxbridge. Operator?
Operator: Thank you. Before we conclude today's call, I would like to remind everyone that a recording of today's call will be available for replay via a link available in the Investors section of the company's website until May 26, 2023. Thank you for joining us today for our presentation. You may now disconnect.